Operator: Good morning everyone and welcome to Portland General Electric Company's fourth quarter 2018 earnings results conference call. Today is Friday, February 15, 2019. This call is being recorded and as such all lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer period. [Operator Instructions]. For opening remarks, I will turn the conference call over to Portland General Electric's Director of Investor Relations and Treasury, Chris Liddell. Please go ahead, sir.
Chris Liddell: Thank you Chelsea. Good morning everyone. I am pleased that you are able to join us today. Before we begin our discussion this morning, I would like to remind you that we have prepared a presentation to supplement our discussion, which we will be referencing throughout the call. The slides are available on our website at investors.portlandgeneral.com. Referring to slide two, I would like to make our customary statements regarding Portland General Electric's written and oral disclosures. There will be statements on this call that are not based on historical fact and as such constitute forward-looking statements under current law. These statements are subject to factors that may cause actual results to differ materially from forward-looking statements made today. For a description of some of the factors that may occur could cause such differences, the company requests that you read our most recent Form 10-K. Portland General Electric's fourth quarter and full year 2018 earnings were released via our earnings press release and Form 10-K before the market opened today, both of which are available on our website. The company undertakes no obligation to update publicly any forward-looking statements, whether as a result of new information, future events or otherwise. This Safe Harbor statement should be incorporated as part of any transcript of this call. Leading our discussion today are Maria Pope, President and CEO and Jim Lobdell, Senior Vice President of Finance, CFO and Treasurer. Following their prepared remarks, we will open the lines for your questions. Now, it's my pleasure to turn the call over to Maria.
Maria Pope: Thanks Chris and good morning everyone and thank you for joining us today. Welcome to Portland General Electric's 2018 earnings call. I am pleased to share our financial results and accomplishments. We will also discuss earnings guidance as well as the Wheatridge Renewable Energy Facility, the winning bid from our renewable RFP process. We are excited about the combination of wind, solar, and battery storage, a first of its scale and cost competitive in delivering carbon-free energy to customers. Turning to slide four. Our full year 2018 financial results of $2.37 per diluted share were near the top end of our guidance as well as ahead of last year. We are initiating 2019 full year earnings guidance of $2.35 to $2.50 per diluted share as well as providing long-term earnings growth guidance of 4% to 6%. Jim will provide the details on each later on the call. Turning to slide five. Our service area continues to grow. Our average number of customers grew by 1.3% this year and total retail energies increased 0.4% from 2017 on a weather-adjusted basis. Strong industrial growth of 2.2%, more than offset the impact of residential and commercial energy efficiency. Our service area remains attractive to large-scale commercial and industrial development, especially from data centers and high-tech manufacturing. Furthermore, Oregon continues to see strong in-migration and an average unemployment rate of 3.5%. In 2018, our accomplishments include advancing smart grid technologies, such as our distributed energy resource test bids and laying the groundwork with electric avenues and working with our transit authorities to expand transportation electrification. We also achieved positive outcomes on our 2019 general rate case and successfully resolved the Carty Litigation, receiving $113 [ph] million in cash settlement proceeds. Turning to slide six. After months of regulatory competitive bidding processes, we are proud to announce our collaboration with NextEra Energy Resources, who will construct a facility that combines 300 megawatts of wind generation, 50 megawatts of solar generation, and 30 megawatts of battery storage. This project will be the nation's first major energy facility to co-locate and integrate these technologies at scale. We will own 100 megawatts of the project and will buy the balance of the facility's output under a 30-year power purchase agreement with a year 12 purchase option. The wind component will be operational by December 2020 and will qualify for 100% federal production tax credits. The solar and battery components will be completed in 2021 and will qualify for a 100% of the federal investment tax credits. As such, the overall delivered cost of energy is highly competitive, making the project extremely attractive as we work to lower our carbon impact while maintaining reliability and keeping customer prices affordable. PGE expects to invest approximately $160 million for its owned portion of the project, and this amount is included in our updated capital expenditure forecast. In addition, we are advancing our green tariff in order to sell 100% renewable energy to our largest commercial and municipal customers. The tariff filing has been supported by several prominent mayors and we expect regulatory review to be complete this quarter. We also plan to file our 2019 integrated resource plan this summer. The plan will outline our long-term resource needs and is a key part of our efforts to pursue safe, reliable, and affordable energy. We look forward to continued collaboration with stakeholders. And now, I am pleased to turn the call over to Jim. Thank you.
Jim Lobdell: Thank you Maria. Turning to slide seven. In December, the OPUC adopted all stipulations and resolved the remaining contested issues in our 2019 general rate case, approving a revenue increase of approximately $9 million that took effect January 1, 2019. This included a rate base of $4.75 billion, up from our previously authorized rate base of $4.5 billion, while maintaining our 50% equity capital structure and a return on equity of 9.5%. The commission also authorized an increase to our annual amount of recovery for storm restoration, incorporation of recent weather trends into our load forecast, and extended decoupling through 2022. After evaluating our financial projections, we have determined that we will not file a general rate case for 2020 with the OPUC, and we will continue to reevaluate the need to file on an annual basis. Turning to slide eight, which shows earnings drivers for 2018. First, gross margin reduced earnings by $0.19 due to a $0.31 decrease attributable to mild weather in 2018 when compared to 2017, and that was offset by $0.12 attributable to lower purchase power and fuel costs as well as increased wholesale revenues. Second, lower storm restoration costs represent a $0.09 increase in earnings. Next, lower plant maintenance expense contributed to an $0.08 increase in earnings, followed by Carty adding approximately $0.11 from the cash settlement. Regulatory items, including tax reform and capital deferral dockets, contributed to an increase of $0.01. And finally, a decrease of $0.02 per share due to other miscellaneous items. On slide nine, we have provided a summary of the company's current capital expenditure forecast from 2019 through 2023 related to investments that support our combined customer growth and development of a more efficient, reliable, and secure system. Included in this forecast are capital expenditures for the Wheatridge Renewable Energy Facility, most of which will be in 2020. On to slide 10, we continue to maintain a solid balance sheet, including strong liquidity and investment grade credit ratings. As of December 31, 2018, we had first mortgage bond issuance capacity of $1 billion, cash available short-term credit and letter of credit capacity totaling $755 million, and a common equity ratio of 49.8%. In January of 2019, we executed an amendment to our revolving credit facility of $500 million, extending the termination date to November 2022. In December, we issued $75 million of first mortgage bonds at an interest rate of 4.47% that will mature in 2048. In 2019, we expect to fund estimated capital expenditures with cash from operations, the issuance of debt securities up to $375 million. In April, we issued $200 million of first mortgage bond securities at an interest rate of 4.3%, maturing in 2049. As shown on slide 11, we are initiating full year 2019 guidance of $2.35 to $2.50 per diluted share, which assumes an increase in retail deliveries of approximately 0.5% weather-adjusted, average hydro conditions for the year, wind generation for the year based on five years of historical levels or forecast studies when historical data is not available, normal thermal plant operations, operating and maintenance costs between $585 million and $605 million, and depreciation and amortization between $400 million and $420 million. In 2019, we are forecasting an effective tax rate between 10% to 15% which will be slightly higher than in 2018 due to fewer production tax credits and higher pretax book income. We are also forecasting an average CWIP balance of $215 million. Because we are not filing a 2020 general rate case, we wanted to be able to provide you with some additional guidance around earnings of the company. Therefore, we are providing earnings guidance of 4% to 6% earnings per share growth rate on average for the period 2018 through 2021. We will get there through a combination of three factors: First, continued investment in our system driving efficiencies in our cost structure. For example, investments in our distribution systems, including substation upgrades and replacement of underground cables prior to failures to avoid the cost of break fixes. Second, strong economics in our service territory, which drive both investment and growth in demand help to offset operational costs. And third, investment in renewable and energy storage including the Wheatridge Renewable Energy Facility and our pilot energy storage projects. And now, operator, we are ready for questions.
Operator: [Operator Instructions]. And our first question will come from the line of Insoo Kim with Goldman Sachs. Your line is open.
Insoo Kim: Hi. Good morning everyone.
Jim Lobdell: Good morning.
Insoo Kim: Just a question on, I guess the rate case, as you’re are not planning on filing a 2020 rate case and with Wheatridge expected to come online by the end of 2020 for the wind, does that imply that you will be filing a rate case, I guess, in the beginning of 2020 for the 2021 time period? Or is there a separate filing you can make for just that project that wouldn't require a base rate case?
Jim Lobdell: In Oregon , Insoo, because of the RPS that we have here, we have a mechanism we call the renewable adjustment clause. That clause allows us outside of a general rate case to make a filing to bring renewables into customer prices associated with those resources that meet the renewable portfolio standard. And so, it's almost like a rifle shot type of a general rate case associated with it. So, we will track it into customer prices that way.
Insoo Kim: Understood. And then in terms of the 100% PTCs associated with the project, does that build on the deferred income tax line? So from a rate base perspective, that will have some kind of offset to rate base? Or is there a more immediate reduction to customer build as a result of that?
Jim Lobdell: Yes. That will continue to build.
Insoo Kim: Understood. And then finally for me. The 4% to 6% growth rate for the 2018 to 2021 time period, is that the 2018 actual result that you guys filed today? And does the midpoint assume continued 0.5% retail growth rate?
Jim Lobdell: Yes. Our long-term growth rate that we have mentioned out there before beyond the next few years is still 1%.
Insoo Kim: Understood. Thank you very much.
Jim Lobdell: Thanks.
Operator: And our next question comes from the line of Paul Ridzon with KeyBanc. Your line is open.
Paul Ridzon: Good morning.
Maria Pope: Good morning.
Jim Lobdell: Good morning Paul.
Paul Ridzon: What was the EPS impact of weather versus normal for the year?
Jim Lobdell: For the entire year, it was $0.07.
Paul Ridzon: Versus normal? And then 31 versus --
Jim Lobdell: Year-over-year. Yes.
Paul Ridzon: What should we look -- I am a little confused about the renewable adjustment clause versus AFUDC. Will you be booking AFUDC on this wind asset?
Jim Lobdell: Yes. We will be.
Paul Ridzon: Okay.
Maria Pope: The renewable adjustment clause is really just a way that we are able to prevent any regulatory lag associated with renewables and not have to have multiple rate cases in terms of bringing that investment into customer prices. We would enter into those agreements with the PUC after the completion of the facility, and that would include the AFUDC that we would be accumulating while the construction is taking place.
Paul Ridzon: Thank you. So we should look for AFUDC line to trend up this year?
Jim Lobdell: Mostly, it would be in 2020.
Maria Pope: Yes.
Paul Ridzon: Can you split that $160 million between 2019 and 2020?
Jim Lobdell: Most of it will be in 2020. I can't give you an exact number, right now, Paul. But the balance of it will be in that particular year with a small amount trickling into 2021.
Maria Pope: When you think about a wind farm and construction projects like this, the vast majority of the early work is civil work, and there is not a lot of capital spending until you get at least midway through the project.
Paul Ridzon: How is the wind resource in 2018 versus normal?
Maria Pope: We were slightly under by about two percentage points. What we have seen in the past is actually greater differentials, but we forecast about 32% between all of our wind resources and we came in right at about 30%, so pretty negligible difference all considering.
Paul Ridzon: And as far as equity, just kind of the normal drip in employee programs for the year?
Jim Lobdell: Yes. We don't plan on issuing any equity.
Paul Ridzon: And then lastly, I don't remember where I saw it, but some discussion about pushing construction of the solar and battery component of this to 2023?
Maria Pope: No. That's not accurate. The entire project will be finished by the end of 2021.
Paul Ridzon: Do you know where that came from? Was that some proposal somewhere?
Jim Lobdell: I haven't heard that.
Maria Pope: We have no idea where you saw it.
Paul Ridzon: I will track it down. Okay. Thank you very much. Those were all my questions.
Jim Lobdell: Thanks Paul.
Operator: Thank you. And our next question comes from the line of Travis Miller with Morningstar. Your line is open.
Travis Miller: Good morning. Thank you.
Jim Lobdell: Good morning Travis.
Travis Miller: Hi. A question again on the Wheatridge project. How much was the economics beneficial or improved by that integration having all three of those, battery, solar, wind versus what you saw in terms of just wind or just solar projects? How much of that integration helped the economics, if at all?
Maria Pope: See, that's a really good question. First of all, this was a competitive bidding process that was highly competitive. There were a number of bidders into the process, and we saw equipment costs that have been coming down steadily over the last couple of years and pretty commensurate with some of the things you hear around the rest of the country. So very good in terms of just overall competitiveness in each of the components on a stand-alone basis. What the combination does is, it allows you to utilize a little bit more of the transmission resources as the wind farm is in the Eastern part of the state and transmission is one of our higher cost. So that's where you get incremental increase in economics over time.
Travis Miller: Okay. So was there any consideration of the qualitative aspect of this? Or perhaps you would get more capacity credit, not capacity in terms of what's out there capacity, but in terms of available capacity out of this just by having those three, perhaps solar helping to charge the battery, winds using that battery, however you think about it? Because there are qualitative elements to it?
Maria Pope: Absolutely. And that allows us to essentially generate more wind and solar energy, store it and then be able to transmit it into the load regions of Portland and our service territory at higher rates than we otherwise would be able to do so. So you are absolutely right.
Jim Lobdell: Yes. So think about it as solar shifting.
Maria Pope: Yes.
Jim Lobdell: Pulling in energy during the peak hours of the day and we are able to shift it, because typically what happens is the sun goes down before we get to our peak load and the battery is going to allow us to be able to shift some of that energy to better meet that peak.
Travis Miller: And then the winds would also supplement that?
Maria Pope: Absolutely. They all work together.
Travis Miller: Okay. And on another topic, how much are you guys watching what's going on directly to the south of PG&E? How closely are you watching it? Do you think there's any kind of industry wide or even specifically to Oregon, any kind of precedent that could come out of the whole situation, however long it takes? Just wondering your thoughts on that?
Maria Pope: Well, obviously what's happening in California is very complex and the fires that they have had have been truly tragic. We have some very significant differences in Oregon law versus California law. We do not have anything that looks like inverse condemnation in this state and most states do not. We also operate in a significantly different type of climate, a wet belt with largely different species of vegetation and different types of forests. That being said, everyone in the industry is making sure that all of our tree trimming, vegetation management, all of our equipment is not subject to some of the same things that they have seen in California. And we have always taken the health and safety of our system and the safety of our customers and the communities we serve as the highest priority. So this is really just an extension of what we have always been doing as a utility.
Travis Miller: Okay. Great. Thanks a lot.
Jim Lobdell: Thanks Travis.
Operator: And our next question comes from the line of Paul Patterson with Glenrock Associates. Your line is open.
Paul Patterson: Hi. Good morning.
Jim Lobdell: Good morning Paul.
Paul Patterson: Just on not filing the rate case, is it just because of the renewable track and what have you that you don't have to file? Or is there anything else in terms of the O&M outlook or how CapEx is working within your system? Is there anything else we should be thinking about that is allowing you not to go in for a rate case? Or is there any change in the trajectory there?
Jim Lobdell: No. It's back to what I said in my prepared remarks, Paul. It's looking at the overall investments and the value that those investments are taking from an OpEx perspective. It's the growth in our service territory and our customers, kind of the strong economy that we have out there. So those and several other items are helping us focus on trying to stay out and trying to make sure that we keep our prices low for our customers. We continue to be a very competitive company.
Paul Patterson: Great. And do you have any idea when you might be going back in again?
Jim Lobdell: No. We will evaluate that on an annual basis, Paul.
Paul Patterson: Okay. Great. And then with respect to just a sort of follow-up on Travis's question. Is there sort of a capacity value quantitatively that's associated with this Wheatridge project, if you follow me? If we look at all the megawatts and what have you, how do we think about sort of the firm capacity that it provide because of the combination, if you follow me? Is it a key number for that?
Maria Pope: Yes. That's a really good question. This was an RFP for energy. And as we begin to study and work with the battery and solar components, we will know a lot more going forward. As we indicated in some of the press materials, this is a first of its kind in the country at this kind of scale. And so we have a lot to learn and we are very much looking forward to being able to understand the capacity values. But this was an energy RFP.
Paul Patterson: Okay. So the capacity value that one would assume with the combinations there, that's not really factored into economics that allow it to win the RFPs. Is that appropriate to say?
Maria Pope: It's all factored in, but it's factored in on much more of an energy basis, because that was the criteria of the RFP.
Paul Patterson: Okay. And you said it was extremely competitive. Can you quantify any more than that?
Maria Pope: No. Unfortunately we can't.
Paul Patterson: Okay. And then just finally, I think there might be some legislation that comes, any outlook on legislation and sort of carbon outlook and what that might mean for you guys? Can you elaborate a little bit on that?
Maria Pope: Sure. And just for others who may not be aware, one of our Governor's top priorities is a cap in trade legislation. It's consistent with the state's targets to reduce emissions, carbon emissions by 80% from 1990 levels by 2050. And it is also consistent with the plans that we have been talking about as a utility for a while and our decarbonization studies that we did ourselves. At present, we are looking very closely at the legislation, which has just been a detail for about 10 days now and working collaboratively with legislators and the Governor's office. Our main interest is making sure that customers don't pay twice as we reduce the carbon impact of our generation and that we continue the trajectory of adding renewables and producing less carbon emitting electricity as we go forward.
Paul Patterson: Okay. Great. Thanks a lot.
Maria Pope: Thank you.
Jim Lobdell: Thank you.
Operator: Thank you. And our next question comes from the line of Gregg Orrill with UBS. Your line is open.
Jim Lobdell: Good morning Gregg.
Maria Pope: Good morning.
Gregg Orrill: Hi. Thank you. I was wondering, is the basis for the growth rate guidance, $2.37 in 2018?
Maria Pope: So yes, in $2.37, one thing you should recognize is that we do have the one-time gain from the Carty settlement, which is a non-operational item.
Gregg Orrill: And that's the only adjustment?
Maria Pope: Yes.
Gregg Orrill: Thank you.
Jim Lobdell: Thanks Gregg.
Operator: And our next question comes from the line of Vedula Murti with Avon Capital. Your line is open.
Vedula Murti: Good morning.
Jim Lobdell: Good morning.
Vedula Murti: Just to follow-up on Gregg's question. So as I recall, I think that one-time gain was $0.12, if I recall. So actually the 4% to 6% should be off of a $2.25 number? Is that correct?
Jim Lobdell: No. $2.37 base. The year-over-year associated with that gain was $0.11.
Vedula Murti: Okay. So the $2.37 is the correct base?
Jim Lobdell: Yes.
Vedula Murti: Okay. And I see, obviously with the elevated capital spend, rate base is growing at a rate that puts you into the 4% to 6%. When you go back out to 2022 and 2023, back to 500, given DD day is at 400 plus right now, the rate base growth slows back down again. So I am wondering if you can discuss a little bit about any backfill opportunities and potential magnitudes there that you are evaluating at this point in terms of rate base?
Maria Pope: Thank you for your question. As you know, we take a look at our capital on a regular basis and have a tradition of updating it pretty substantially in the fall. At this point in time, we have a lot on our plate and we will be looking at those added years as we move forward. So there's nothing to update you on right now.
Vedula Murti: Okay. And at this point, given that the tracker mechanism will put in the RFP assets into rates. Should we assume that come post-2021, that you would still be able to, because of growth and efficiencies, you would be able to continue to stay out?
Maria Pope: Yes.
Jim Lobdell: As I mentioned earlier, we are looking at it on an annual basis as to whether we will need to file a general rate case or not.
Vedula Murti: Okay.
Maria Pope: Yes. And we do remain very enthusiastic about the growth of our region. We have a number of industries that are finding this area very attractive for a variety of reasons.
Vedula Murti: Do you believe that you can sustain the growth that you just highlight here for the 2018 through 2021 period beyond 2021?
Jim Lobdell: We are not giving any guidance beyond 2021 time period at this particular point.
Vedula Murti: Okay. Thank you very much.
Jim Lobdell: Thanks.
Operator: Thank you. Our next question is a follow-up question from Paul Ridzon with KeyBanc. Your line is open.
Paul Ridzon: Thank you again.
Jim Lobdell: Welcome back Paul.
Paul Ridzon: Thanks. Getting pinged with a little bit of what I think is some confusion on what was the Carty gain? And just to clarify the base for the 4% to 6% is $2.37?
Maria Pope: Yes.
Jim Lobdell: Yes. You got that right. The gain on Carty was $0.11. That's the year-over-year.
Paul Ridzon: So that is the drop-off of some expenses in 2017 and then the cash payment?
Jim Lobdell: Yes.
Paul Ridzon: And then what was the average quick balance in 2018?
Jim Lobdell: $250 million.
Paul Ridzon: Thank you again.
Jim Lobdell: Okay. Thanks Paul.
Maria Pope: Thank you.
Operator: Thank you. Our next question comes from the line of Greg Reiss with Centenus. Your line is open.
Greg Reiss: Hi guys. How is it going?
Maria Pope: Good morning.
Jim Lobdell: Good. Thanks.
Greg Reiss: Yes. I just wanted to clarify the base rate, but it seems like you guys are saying it's $2.37 and you don't have to strip anything out of that number?
Jim Lobdell: Yes.
Maria Pope: Correct.
Jim Lobdell: That's right, Greg.
Greg Reiss: Perfect. And then another quick question. Just on the $45 million that you guys reserved to give back for tax reform, is that sitting in cash on the balance sheet? Or is there like a regulatory liability on the balance sheet for it?
Jim Lobdell: It is a regulatory liability. We will be passing it back to customers over the next two years.
Greg Reiss: And does that flow into rate base? Or is the aided portion a different number?
Jim Lobdell: That's a good question. Greg, I will get back to you on that one.
Maria Pope: I think it was the rate base.
Greg Reiss: Okay. No problem.
Jim Lobdell: I think it's in rate base, but I want to make sure I give you the right answer. And I will have Chris follow-up with you.
Greg Reiss: Not a problem. That's all I have. Thank you guys.
Jim Lobdell: Okay. Thanks Greg.
Operator: Thank you. And we have a follow-up question from Paul Ridzon with KeyBanc. Your line is open.
Paul Ridzon: Is there a reason you are not backing that $0.11 out? Does it offset somewhere?
Jim Lobdell: No.
Paul Ridzon: Okay. Thanks.
Maria Pope: Thanks Paul. And thank you everyone. We appreciate your questions and interest in joining us for today's call. For those who are attending the Bank of America Merrill Lynch or Williams Conferences in March, we look forward to seeing you. And we also invite everyone else to join us for our first quarter call in late April. Thank you very much and have a good day.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program. You may all disconnect. Everyone, have a great day.